Operator: Thank you for standing by. My name is Janice, and I will be your conference operator today. At this time, I would like to welcome everyone to the Tidewater Q1 2025 Earnings Call. [Operator Instructions] Thank you. I would now like to turn the call over to West Gotcher, Senior Vice President of Strategy, Corporate Development and Investor Relations. Sir, please go ahead. Please go ahead.
West Gotcher: Thank you, Janice. Good morning, everyone, and welcome to Tidewater's first quarter 2025 earnings conference call. I'm joined on the call this morning by our President and CEO, Quintin Kneen; our Chief Financial Officer, Sam Rubio; and our Chief Commercial Officer, Piers Middleton. During today's call, we'll make certain statements that are forward-looking and referring to our plans and expectations. There are risks and uncertainties and other factors that may cause the company's actual performance to be materially different from that stated or implied by any comment that we're making during today's conference call. Please refer to our most recent Form 10-K and Form 10-Q for additional details on these factors. These documents are available on our website at tdw.com or through the SEC at sec.gov. Information presented on this call speaks only as of today, May 6, 2025. Therefore, you're advised that any time-sensitive information may no longer be accurate at the time of any replay. Also during the call, we'll present both GAAP and non-GAAP financial measures. A reconciliation of GAAP to non-GAAP financial measures can be found in our earnings release located on our website at tdw.com. And now, with that, I'll turn the call over to Quintin.
Quintin Kneen: Thank you, West. Good morning, everyone, and welcome to Tidewater's first quarter 2025 earnings conference call. As usual, I'd like to discuss some highlights of the first quarter, provide an update on the execution of our share repurchase program and our views on capital allocation, discuss the state of the offshore vessel market in the midst of the tariff and macroeconomic uncertainty, and lastly, provide an update on the state of vessel supply. West will then provide some commentary on our capital structure and financial outlook. Piers will give an overview of the global market, and Sam will discuss our consolidated financial results. First quarter revenue and gross margin nicely exceeded our expectations. Revenue came in at $333.4 million, due to both a higher average day rates and better utilization. Gross margin came in at over 50% for the second consecutive quarter. Day rates outperformed our expectations by more than $500 per day, setting a new quarterly day rate record at $22,303. We experienced lower-than-anticipated downpour repair days, which has the benefit of increasing utilization, lowering repair and maintenance expenses and reducing fuel expenses related to off-hire time. The sequential day rate and utilization improvements in the quarter were an encouraging start to the year, especially given that the quarter was disadvantaged by being our largest drydock quarter of the year, and the fact that from a calendar year seasonality perspective, the first quarter is typically characterized as the slowest quarter of the year. Additionally, during the first quarter, we generated about $95 million of free cash flow, the second-highest quarterly free cash flow figure since the offshore recovery began, down slightly from the fourth quarter, even though during the first quarter, we incurred more than $30 million of additional drydock and capital expenditures than we did in the fourth quarter. As we've discussed in prior calls, our view on share repurchase program as -- we view our share repurchase program as a nice mechanism to return capital to shareholders, but also as a mechanism to take advantage of inefficiencies we see in the market, particularly to the extent that compelling M&A opportunities are not viable or actionable. During the first quarter and the beginning of the second quarter amidst broader market volatility, we leaned heavily into the share repurchase program, fully utilizing the $90 million of share repurchase activity available to us under our existing debt agreements, repurchasing 2.3 million shares on the open market at an average price of $39.31 per share. In addition, we further reduced the outstanding share count by 180,000 shares in exchange for paying $7.5 million of employee taxes on the vesting of equity compensation at an average price of $41.55 per share, bringing the total use of cash to reduce the outstanding share count to nearly $100 million or 2.5 million shares. Given our long-term outlook for the offshore activity and our associated view on the intrinsic value of our shares, we view the recent buyback activity as particularly opportunistic. M&A remains a cornerstone of our growth strategy. However, the broader market volatility and shifting sentiment on offshore activity continues to challenge deal dynamics. The strength and durability of any acquired cash flows and the resulting consolidated capital structure are important to our view of a transaction, although our focus remains on levered overall returns and near-term free cash flow generation, and to the extent that we find targets that satisfy these conditions, we remain interested in aggressively pursuing them. We will evaluate a deal using stock, cash or a combination of both, although using shares would need to satisfy our long-term view of our shares' intrinsic value. We will contemplate additional balance sheet leverage for the right acquisition, provided the ability to quickly delever back to a reasonable level as we have done in our prior transactions. Shifting gears a bit, I'd like to discuss recent macroeconomic events and how they influence our business and the markets. We are all watching in real-time how the recently-announced U.S.-led tariff regime will ultimately shape trading patterns globally, its subsequent impact on the global economy and the resulting impact on global energy needs, which is ultimately what drives our customers' investment plans. It's difficult to say how these factors will play out, but it's easy to say that the uncertainty about the magnitude and direction of global growth is relatively high. But the good news is that we, along with the broader industry, are familiar with how to navigate situations like this. The benefit of maintaining a relatively low leverage profile and a highly scalable global operating footprint is that it provides the flexibility to react quickly to optimize the business. Reacting quickly requires optimizing the fleet by relocating, withholding or disposing a vessel capacity. The investments we've made in our scalable shore-based infrastructure ensure that we run the business as efficiently as possible. Our geographic diversification ensures that we are able to redistribute the fleet to focus on those geographic areas that look to be relatively more attractive. Recount these factors not to suggest that these are required today or that activity is structurally declining. And in fact, it's quite the opposite. To date, we've learned of no real canceled or delayed projects and continue to see signs of strength for the intermediate to long-term plans for our customers, the long-term contracts for our offshore drilling units, perhaps the most tangible evidence of continued conviction by our customers. I simply mentioned it as a reminder that through the cycles of the past decades, we have fundamentally changed how we run the business, focused on efficiency, free cash flow generation, financial and operational flexibility and geographic diversification. 2025 looks to be in line with our prior expectations with pockets of the drilling activity offset by increases in subsea construction and production related activity, offering opportunities to deploy our vessels. Recent contract awards for offshore drilling and tendering activity for our vessels provide for cautious optimism that as we progress into 2026, offshore activity will return to a point that demand will outpace the supply of vessels and provide us the opportunity to resume our aggressive push on day rates. We anticipate that we will continue to see more rig and vessel tenders as we progress through the summer and into the fall, further supporting the intermediate-term outlook. Encouragingly, the pipeline of subsea projects and FPSO's deliveries remains robust and provides for an alternative source of demand in addition to the anticipated incremental drilling activity. The vessel supply outlook remains essentially unchanged from the prior quarter, although the general feeling for potential newbuilds has waned. As a reminder, a change under 3% of the global supply is on order, most of which were placed back in the latter half of 2024. Our view is that newbuild discussions have largely ceased. A modest number of newbuilds on order are now expected to deliver until late 2026 at the earliest, likely into 2027 and likely -- won't sufficiently replace vessels that are expected to attrition during that same timeframe, resulting in a continued decrease in net vessel supply and supportive of our expectation that demand will outpace supply in the intermediate-term. We watch newbuild activity very closely and we'll continue to do so, but remain of the view that current shipyard capacity, prevailing global day rates and contract terms, the state of the financing markets and vessel technology considerations make any large-scale newbuilding programs unlikely. In summary, we're pleased with a nice start to the year and expect 2025 to play out largely as anticipated with optimism on longer-term offshore activity continuing to support the fundamentals for our business. And with that, let me turn the call back over to West for additional commentary and our financial outlook.
West Gotcher: Thank you, Quintin. During the first quarter of 2025 and subsequently through the middle of April, we deployed just north of $97 million to reduce the outstanding share count by approximately 2.5 million shares at an average price of $39.47, including both open-market repurchases and in exchange for paying employee taxes on the vesting of equity compensation. As we've discussed in prior earnings calls, our two outstanding Nordic bonds contain the operative language providing for capacity for distributions to shareholders, namely share repurchases. We completed our latest share repurchase authorization of $90 million. Given the terms of the indentures, specifically the limitation on shareholder distributions to 50% of trailing four-quarter net income, as of today, we have no incremental allowance provided, and therefore, have no incremental allowance under the bonds or Board share repurchase authorization to announce. Our future allowance under the bonds will be determined by the trailing four-quarter net income measure or through a refinancing of our existing bonds into a new debt structure that could contain different shareholder return provisions. On that note, we continue to actively monitor the debt capital markets and bank markets to successfully achieve our goal of establishing a long-term unsecured debt capital structure along with a sizable revolving credit facility. We remain opportunistic on pursuing a potential refinancing as we have no near-term maturities and no immediate need to access the debt capital markets. The make on our unsecured Nordic bonds, which we previously described as one of the primary considerations around the timing of a refinancing, will step down to the first call price in July of 2025. As we approach July, we are mindful of the economic impact of reaching the first call date. Further, while we still view a debt capital structure reset as an important step on the continued evolution of the business, it is equally important that to the extent we do access the markets to establish a long-term debt capital structure, that it's an economically and structurally attractive solution for our long-term vision. As such, with no impending maturities and relatively low leverage, we will remain opportunistic in our approach to a debt capital structure reset. Turning to our leading-edge day rates by vessel class, which were posted in our investor materials yesterday. For our largest class of PSVs and anchor handlers, we saw some limited downward pressure on our leading-edge day rates as the majority of contracts entered into during the first quarter for these classes of vessels were done in the North Sea. The first quarter is typically characterized as the quarter as the least favorable quarter of the year due to seasonality, which is especially pronounced in the North Sea. We did see sequential improvement in our midsized and smallest classes of PSVs that entered into contracts throughout the rest of our operating regions. Looking to 2025, we are reiterating our full year revenue guidance of $1.32 billion to $1.38 billion and a full-year gross margin range of 48% to 50%. We anticipate second quarter revenue to be about the same as we did last quarter, but given the revenue outperformance in the first quarter, we anticipate revenue to decline about 5% sequentially. We anticipate a Q2 gross margin of 44%. The sequential decline is due to the fall-through on lower revenue as well as higher costs associated with fuel expense related to idle days and vessels down for repair as well as the repair and maintenance expense associated with vessels down for repair. As we progress into the back half of the year, we anticipate a material uplift in utilization into the third quarter and further modest strengthening into the fourth quarter. We expect margins to improve in the back-half of the year due to the fall-through from higher levels of revenue and through a reduction in operating expenses as drydocks decline and a normalization of expenses associated with vessels down for repair. The midpoint of our revenue guidance range is approximately 88% supported by first quarter revenue plus firm backlog and options for the remainder of the year. Our firm backlog and options represent $848 million of revenue for the remainder of 2025. Approximately 70% of available days are captured in firm backlog and options with our larger classes of vessels retaining slightly more availability to pursue incremental work as compared to our smaller vessel classes. The bigger risk to our backlog revenue is unanticipated downtime due to unplanned maintenance and incremental time spent on drydocks. With that, I'll turn the call over to Piers for an overview of the commercial landscape.
Piers Middleton: Thank you, West, and good morning, everyone. The outlook for offshore markets has become increasingly uncertain amid the fast-changing macroeconomic environment in response to recent developments. However, day rates in the broader offshore market generally remain in a strong position versus long-term averages. And in particular, OSV markets remain above historical averages, although we are starting to see a further exacerbation of diverging trends between some of the regions in which we operate. In short, the Brazilian OSV market has strengthened significantly in recent months and the Middle East, Africa and Southeast Asia have seen steady improvements. However, the U.K., North Sea, and Mexico markets continue to face demand-side challenges. Overall, the outlook for the OSV market has become more complex amidst the increasingly uncertain economic backdrop and volatile energy prices. But the long-term fundamentals we've spoken about on previous calls remain in the boatowners' favor going forward, and as Quintin mentioned earlier, we've not seen any of our customers canceling or deferring any projects. In the Americas, we saw varying degrees of puts and takes during the quarter. On the negative side, PEMEX still appears to be in disarray with little clearing guidance from the Mexican Government on their long-term plans for PEMEX, which has meant that in the short-term, we don't expect to see any additional demand coming from PEMEX for the remainder of the year. On the other hand, the opposite is true in Brazil, where Petrobras has just released another long-term tender for up to 18 large OSVs split between foreign and Brazilian flag, with the expectation that a number of PSVs working in both the U.K. and Norwegian North Sea will be bid into Brazil, which in turn should help tighten supply in the North Sea going forward. Also, in the plus column for additional OSV demand, we've seen several recent announcements and pending related to future development projects in Suriname and Guyana expecting to kick off during 2026. The areas in the North Sea have yet to see improvements in 2025, with PSV rates remaining flat, which is not unexpected as Q1 is generally the slowest quarter in the North Sea. And whilst rates are flat, they're still above where rates were in the last upcycle of 2010 to 2014. As mentioned earlier, we do also expect to see some PSVs leaving the North Sea market for Brazil during 2025 and 2026. And as such, this will tighten the supply-demand balance further into the boatowners' favor over the upcoming quarters. In Africa, we had a strong Q1 as we continued supporting drilling campaigns in the Orange Basin and kicked off projects in Congo and the Ivory Coast. In the short-term for the remainder of 2025, we still have several tender awards outstanding for the second half of the year related to additional drilling campaigns in the Orange Basin, which we expect to have clarity on by around midyear. Longer-term, in Angola, both Sonogol and Capco have come out with multiple vessel tenders to support ongoing production activities from mid-2026 onwards and the Angolan Government continues to push the IOCs to increase production in country. As mentioned on previous calls, we may see some short-term headwinds in the region, but longer-term, we expect to see an increase in demand in the region, not only from the continuing development of the Orange Basin, but also from an expected uptick in tendering activity in Nigeria with a number of projects stated to kick off in the second half of 2026. In the Middle East, the market remains very tight with limited vessel availability and increasing demand. The region performed very well in Q1, and while new tendering activity was relatively muted due to the Eid celebrations falling during Q1, we've already started to see tendering activity pick up again during Q2, both from the NOCs and subsea contractors. Overall, our outlook for the region remains very positive for the remainder of the year and into 2026. Lastly, in Asia Pacific, the region performed well in Q1, and looking at over the rest of the year and beyond, there are numerous outstanding long-term tenders in Australia, Malaysia and Indonesia, which bode well for the long-term large PSV demand story in the region. In addition, there are significant subsea construction activity expected in Australia in the second half of 2025, which will require large AHTS' and large PSV' support during Q3 and Q4. For the remainder of 2025, the team will remain vigilant to any potential issues that might arise from the current potential economic headwinds. But at present, the business seems set fair for the remainder of the year, and we will remain focused and disciplined on continuing to maintain and improve Tidewater's position in the market. Overall, as mentioned by Quintin, we are pleased with how our global team both on the on- and offshore continued to perform with the highest level of dedication and professionalism, and we look forward to what the rest of 2025 brings. And with that, I'll hand it over to Sam. Thank you.
Samuel Rubio: Thank you, Piers, and good morning, everyone. At this time, I would like to take you through our financial results. Our discussion will focus primarily on quarter-to-quarter results of the first quarter of 2025 compared to the fourth quarter of 2024, including operational aspects that affected the first quarter. As noted in our press release filed yesterday, we reported net income of $42.7 million for the quarter or $0.83 per share. We generated revenue of $333.4 million compared to $345.1 million in the fourth quarter, a total decrease of $12 million or about 3%. First quarter average day rates of $22,303 per day were marginally higher versus the fourth quarter. We also saw a slight increase in active utilization from 77.7% in the fourth quarter to 78.4% in the first quarter, due mainly to the decrease in idle, drydock and repair days. Gross margin in the first quarter was $167 million compared to $174 million in the fourth quarter. Gross margin percentage came in at 50.1% compared to 50.4% in Q4, which marks two consecutive quarters with margins over 50%. We did expect gross margin to fall slightly from Q4 levels. However, the decline was less than anticipated, primarily due to the higher-than-expected revenue combined with the reduction in operating costs. Adjusted EBITDA was $154.2 million in the first quarter compared to $138.4 million in the fourth quarter. As a reminder, in Q4, we recorded a $14.3 million FX loss that negatively impacted our adjusted EBITDA. In the first quarter, we experienced a partial reversal of this FX loss and recorded a $7.6 million FX gain as a result of the weakening U.S. dollar in the latter portion of Q1. Vessel operating costs for the first quarter were approximately $165 million compared to $170.4 million in Q4. During Q1, we were able to reduce crew on some of our idle vessels to a minimum manning level. And additionally, we had a couple of vessels operating in Southeast Asia instead of Australia where mariner cost is lower. The combination of which contributed $2.7 million to the decrease in crew salaries and travel costs. Operating expense was also down approximately $4.8 million compared to Q4 due mainly to lower unplanned repair days and cost, the largest decreases related to our APAC and Europe and Mediterranean regions. Also, we had 266 fewer idle days, 52 fewer drydock days, and 13 fewer mobilization days, which also help reduce our supplies and consumable expense for the quarter by about $900,000. Offsetting these decreases were insurance, variable charter and other miscellaneous costs that came in higher than the prior quarter. G&A costs for the quarter was $29.1 million, $1.6 million lower than the fourth quarter due primarily to a decrease in professional fees. We are still projecting G&A costs to be about $119 million for 2025, which includes $15 million of non-cash stock-based compensation. As a reminder, we conduct our business through five segments. I refer to the tables in the press release and the segment footnote and results of operations discussions in the 10-Q for details of our regional results. In the first quarter, consolidated average day rates were up slightly versus the fourth quarter. However, results vary by segment with our Americas day rates improving by 8% and our Middle East day rates improving by almost 5%. We saw marginal increases in day rates in our Africa and APAC regions, in our Europe and Mediterranean region, which is the most affected by seasonality, decreased about 4%. Total revenues were down compared to the fourth quarter with revenues up in our Middle East region by 6%, while revenues in all other regions decreased compared to Q4. Regionally, gross margin increased in the APAC and Middle East regions, but decreased in our other three regions. The increase in the Middle East region was due to increases in average day rates and utilization as well as a minor decrease in operating expenses. The increase in the APAC region was primarily due to a 14% decrease in operating expenses versus the fourth quarter. In Africa, we saw a gross margin decrease of about 1 percentage point, primarily due to a slight decrease in utilization due to higher stack days related to our accruals combined with slightly higher vessel operating costs. Our Europe and Mediterranean region also saw a gross margin decrease of about 1 percentage point due to marginally lower utilization, resulting primarily from more drydock days. In our Americas region, we saw a decrease in gross margin due primarily to lower utilization from higher idle and repair days, partially offset by fewer drydock days. We generated $94.7 million in free cash flow this quarter compared to $107 million in Q4. The free cash flow decrease quarter-over-quarter was primarily attributable to high drydock and CapEx costs and lower proceeds from asset sales, offset by improved cash flows from net working capital activities. Despite the improved working capital, I do want to mention that we have not received payment for several quarters from our primary customer in Mexico. Our outstanding receivable balance as of March 31st was $35.1 million. Historically, we have not had any write-offs due to collectability of their receivables and do not expect any in the future. However, we will continue to monitor these receivables. During the first quarter, we made $12.5 million in principal payments on our senior secured term loan. We also incurred $43.3 million in deferred drydock costs compared to $17.7 million in the fourth quarter. We had 950 drydock days that affected utilization by about 5 percentage points during the first quarter. For the year, we're still projecting drydock costs to be about $113 million. We incurred $10.3 million in capital expenditures in Q1 related to various CapEx projects, including ballast water treatment installation, DP upgrades, fuel system upgrades, and various IT upgrades, both onshore and vessel related. For the year, we still project capital expenditures of $37 million. In the quarter, we sold two vessels for proceeds of $3.8 million, and in Q4, we also sold two vessels for proceeds of $4.5 million. As mentioned previously, we have no immediate need to refinance our existing debt as we have no near-term maturities. However, as noted earlier, as we get closer to the expiration of call premiums and as market conditions become favorable in the debt and capital markets, we will be opportunistic and weigh the cost-benefit of a potential refinancing. During Q1 2025, we used $39.3 million in cash to repurchase approximately 910,000 shares in the market. In April, we spent approximately $51 million of share repurchases to bring our total 2025 repurchase to about $90 million, which further reduced our shares outstanding by approximately 2.3 million shares. Also, similar to the first quarter of 2024, we held back approximately 180,000 shares to pay roughly $7.5 million in taxes related to vesting of employee share-based awards. As we all know, the industry is navigating global economic uncertainty related to challenged commodity prices as well as recent tariff announcements. There is some lack of clarity as to how these factors will ultimately play out. Currently, we do not anticipate direct exposure to drive a meaningful increase in our costs as we have access to local sourcing for most of our equipment, materials and supply needs in our international locations. However, we may indirectly expose -- may be indirectly exposed to tariffs in the form of increased costs from our U.S.-based suppliers or are subject to tariffs. At this point, we have not observed any supplier price increase in this regard. However, most vendors still appear to be assessing the situation, and the impact tariffs may have on them. We are in ongoing discussions with our suppliers to understand the potential impact of the tariff regimes, and we'll work with them to mitigate these increases. In Q1, the -- in summary, Q1 is typically the slowest quarter of the year due to the seasonality that normally occurs. However, this quarter proved to be different as our financial results were well above our initial expectations. Industry long-term fundamentals remain strong despite uncertain global economic environment. Despite this uncertainty, we expect to achieve our financial guidance and expect to continue to generate strong free cash flows and profitability in each subsequent quarter of the year. In the near-term, we will continue to invest in our fleet, pursue attractive M&A opportunities, manage our cost structure efficiently, and execute operationally at a high level. The first quarter also demonstrated our commitment to pursue share repurchases as an attractive investment option and return of capital avenue for our shareholders. We remain optimistic about our current position, about the strong long-term fundamentals of the industry, and about the opportunities to lie ahead for Tidewater. With that, I'll turn the call back over to Quintin.
Quintin Kneen: Thank you, Sam. Janice, we will go ahead and open it up for questions.
Operator: [Operator Instructions] Your first question comes from the line of Jim Rollyson with Raymond James. Please go ahead.
Jim Rollyson: Hi, good morning, Quintin and everyone else. Nice job on -- I guess, a good start to the year in a normally seasonally slow period. Quintin, you referenced this a little bit, but kind of listening through this earnings season so far to some of the offshore drilling contractors and subsea contractors, you know, everyone's kind of echoed the same thing as far as not seeing any changes to plans and maybe further to that, the view that activity picks up when we start getting into the back-half of '26 and '27 is being kind of reiterated and maybe buoyed by recent contract awards. I'm curious if you guys are seeing that translate into conversations yet or if it's still too soon just because it seems like we're building towards a, you know, better at least second-half '26 and '27 assuming the macro doesn't materially get worse from here, but curious kind of what you guys are hearing and seeing.
Quintin Kneen: Jim, thanks. Actually, I'm going to give this one over to Piers, because he's closer to the conversations with the customers related to those particular drilling contracts.
Piers Middleton: Yes. Hi, Jim. That's a good question. I mean, I think as we commented, we haven't seen any changes from our customers in terms of their outlook and views. You know, our expectations hasn't changed. We've still got, as we sort of mentioned, a couple of outstanding tenders, which we're still in active discussions on for the second half of '25. We are seeing the same amount of sort of pre-tender type discussions, but our customers hasn't slowed down either. We saw a tick up in Q1 on those which for -- which are more them looking for vessels going out for '26 and '27 and seeing what the market looks like. So, as where we sit today, those conversations haven't slowed down and so look very positive. But, you know, obviously, there's always a hint of caution with anything in this business as we look forward. But at the moment, we're not seeing anything in the teams on the ground. I haven't seen any slowdown in those conversations yet.
Jim Rollyson: Got it. I appreciate that color, Piers, and maybe as a follow-up, probably back to you, but you mentioned in a couple of regions, one being North Sea, expectations of assets moving out of there. Curious if you guys expect to participate in that or just benefit from the tightening market. And the other one might be you know, a couple of quarters ago, you had brought up some of the challenges in the Asian market related to Malaysia and kind of the softness for a period of time, and it sounds like things are tightening back up. And if I recall correctly, you know, that tightening back up was the difference between you guys being able to continue pushing price or not, I'm curious how that's shaping up for you. Thanks.
Piers Middleton: Yes. So the first one on Brazil, I think we'll benefit from that. I'm not going to say whether or not we're going to be taking part actively in anything with Petrobras. It's an ongoing discussion here. But I mean, we've already heard of a number of vessels which are going to be moving to Brazil. So I'd expect that to continue and that will help to tighten both the U.K. or at least will pull supply down in the U.K., which will be to our advantage is my belief. And in Asia Pacific, Malaysia was back online, they obviously had eased as well in Q1 similar to the Middle East. So we didn't see much activity out of PETRONAS, but they have started to come back and putting vessels back on. So things tend to move a little bit slower when you're dealing with the NOCs and perhaps the IOCs. So, I expect that sort of full impact of that sucking up their supply is more of a Q3, Q4 type of story for Malaysia in particular, but Malaysia is the biggest market in that region in terms of the amount of vessels in that. So it will take a little bit of time for that to work through on the effects, but now, I think by the end of the year, you'll see most of that supply. Most of those Malaysian flag boomy vessels go back into long-term contracts again with Malaysia with PETRONAS, which will be good for us.
Operator: Your next question comes from the line of Greg Lewis with BTIG. Please go ahead.
Greg Lewis: Yes, hi. Thank you, and good morning, and thanks for taking my questions. You know, Quintin, good quarter. I did have a couple of questions around the forward margin guidance for Q2. As I kind of look at the fleet, it looks like we stacked a couple vessels, a handful plus across like West Africa largely. Is there an associate -- I guess two questions around that. Is there an associated stacking cost that's going to hit margins in Q2? And any kind of color on the -- on those types of vessels? Are they kind of core vessels that are just, you know, dealing through some spotty work or they may be older vessels that maybe are stacked and maybe are never coming back?
Quintin Kneen: Hi, Greg. Listen, I think you're spot on actually in the sense that, you know, it's certainly in Africa and it's a certain class of vessels. But the person that's been working directly on this is West. So, West can kind of walk you through exactly what's been happening over there.
West Gotcher: Hi, Greg. Good morning. So, to your first question, I believe at the end of the quarter, we had six vessels stacked. Five of the six are what we refer to as alley cats, okay. So these are very small effectively crude transport vessels. I mean these are, you know, 30-foot long top. These are not what we would refer to as our core vessels. They're core for that region because we do have a legacy position with a couple of customers, primarily in Angola, where we have kind of a full logistics offering, including crew transfer, which these alley cats provide. But these are not, you know, our core PSVs or anchor handlers that, you know, principally comprise the business and really drive a lot of the revenue and margin profile. There is one small anchor handler that is stacked. I believe it's one of the lower classes. So when you look at that, that's not -- those vessels are not a major contributor to the financial, you know, outlook or financial profile of the business.
Greg Lewis: Okay. And so -- and then like when we -- so when we think about the stacking cost of those, it sounds like it would be negligible.
West Gotcher: The. Yes, absolutely. You know, good news. Bad news in our business, the stacking costs for almost any type of vessel are generally quite low, certainly as compared to a drilling unit. But for an alley cat of this nature, a very small crude transfer vessel, it's a de minimis cost.
Greg Lewis: Okay, great. And then, on -- Piers, you mentioned the Brazil tender for next year, you know, I realize you have -- it looks like maybe a little over a handful of vessels in Brazil. I don't believe any of those are -- I believe they're all kind of with the, you know, the IOCs, not Petrobras. You know, that being said, we've seen some kind of pretty -- you know, Brazil has kind of been the saving, you know, has been one of the stronger basins in terms of day rate momentum that we've seen really over the last 12 months. Any kind of thoughts around, you know, the -- that 18 vessel tender? Is that going to be incremental both? I mean, I know it's a mix of local and international players that are, you know, going to be awarded. You know, any kind of color you can give around that being incremental and kind of where -- you know, maybe not -- we don't know where the pricing is going to be on those lots as they come in next year, but any kind of, you know, view on, you know, what the pricing market is in Brazil just because that is going to impact, you know, your non-Petrobras vessels in that basin?
Piers Middleton: Yes. So, I mean the good news is that some of those 18 ships are incremental to what Petrobras currently have. We're sort of just working through how many, but there's definitely going to be a number of vessels which are in addition to what Petrobras already has. I think in terms of rates, I think we talked about it on the last call about where, you know, the newbuilding rates come in at sort of high '50s. I think, obviously this is for existing vessels and stuff, but I think that's a pretty good guide as to where rates can start pushing towards for Brazil and we're in a very -- as we've sort of said many times, this is a finely balanced supply-demand balance at the moment. And you know, I think anything where you see incremental demand in Brazil is going to really help the other regions. It's not going to happen from one quarter to the other, it will take a few quarters for that to really pull through. But, you know, I think that opportunity in Brazil with Petrobras is really going to help tighten up the market a little bit in the North Sea, which is, as we've said, has always been a little bit slower than everywhere else at the moment. So I think it's a very good story going forward over the longer term as to what Petrobras is doing.
Operator: Your next question comes from the line of Fredrik Stene with Clarksons Securities. Please go ahead.
Fredrik Stene: Hi, Quintin and team. Hope you're well, and congratulations on a strong quarter. So I wanted to touch a bit more on the guidance commentary that you gave. You're reiterating guidance for the year $1.32 billion to $1.38 billion of revenue, 48% to 50% gross margin. But, you know, compared to, I think your guidance for the first quarter, during the fourth quarter call, that quarter also exceeded your own expectations. So I guess I was hoping for some color on, you know, how the second quarter, third quarter, fourth quarter outlook to still be able to keep the guidance has changed from how you looked those respective quarters before, right? Is the first quarter outperformance a way for you to make up for what now is potentially, you know, the relative weakness in those other three quarters? Or are they still the same as before and we have a higher chance maybe to end up slightly in the upper end of the guidance? So any color that you can give us to help us understand how those periods have developed since we did after on a call like this would be super helpful. Thank you.
West Gotcher: Hi, Fredrik, it's West. Good morning, and thanks for the question. So you're right, we did outperform in Q1, which was obviously well-received and we're pleased with. But, you know, we laid out that we have about 88% of our backlog covered by contracts right now, okay? So that gives us a degree of confidence. And as we said both in the press release and I believe here this morning, we haven't seen anything to the contrary that would make us think any of the projects that we're, you know, expecting or pursuing have been canceled or delayed. But we still have some open revenue days and some uncontracted days within our fleet and in the backlog that we have to secure in order to ultimately hit the midyear -- or excuse me, the midpoint of our full-year revenue range. So I think from all the facts that we know today that I just laid out, that gave us the comfort to reiterate guidance. Is there still uncertainty there? Are there still open days and kind of go-get? Yes, there is. And so, you know, the Q1 revenue outperformance gave us a little bit more confidence, but there's still some uncertainty there just naturally through some of the exposure we have that we have -- we had to contemplate when reiterating that guidance.
Quintin Kneen: Yes, Fredrik, and this is Quintin. And let me tell you something else that I think about when we talk about the guidance. One of the reasons that we did well in Q1 is that our down for repair days was less than anticipated. And that doesn't always hit on a pro rata basis. So some of that you may see kind of rolled and sprinkled into Q2, Q3 and Q4 with the hope that we do actually continue to outperform on a DFR -- down for repair basis. But, you know, it's one of those where we've struggled with it for the last couple of years and I'm not ready to kind of set a new benchmark a little bit lower on DFR. And so, the DFR outperformance that we saw in Q1 theoretically is expected to hit us somewhere in Q2, Q3 and Q4.
Fredrik Stene: That's very good color. Thank you. And as a follow-up on all of this, how are you -- obviously, I don't expect you to guide on 2026, but how do you feel, you know, the -- call it, the backlog for 2026 has progressed compared to where we were during the fourth-quarter call.
West Gotcher: You know, I think we've discussed this on last quarter's call. We typically haven't given next year's backlog and I think we'll likely keep that stance. You know, as Piers mentioned, there are -- we certainly have backlog in '26 and I suspect that's continued to improve. And as Piers mentioned, you know, the pre-tendering discussions continue in a very positive way. And, you know, we've talked about the average length of our contract over time and, you know, that's roughly six quarters or so and that still persists. So we certainly have coverage out into '26, obviously, not to the same degree as '25 given our short contracting strategy. But I would say given what we see in the drilling market, the production market, the subsea market that our outlook still remains fairly constructive. And as we said, some cautious optimism about what the intermediate-term outlook looks like.
Operator: Your next question comes from the line of David Smith with Pickering Energy Partners. Please go ahead.
David Smith: Hi, good morning. Congratulations on the strong quarter, and thank you for taking my questions.
Quintin Kneen: Thank you, David.
David Smith: I wanted to follow up on Greg's stacking question. And hopefully, you know, this is just hypothetical and safe that way. But could you please walk us through the decision-making framework that you use when deciding whether to stack a vessel versus keeping it warm or chasing spot work? Like are there specific rate thresholds, visibility metrics, maybe region-specific factors?
Quintin Kneen: It's all of those. And these particular vessels, they don't really have an operating sphere outside of West Africa and really not even that far outside on the longer. So, you know, the relationship with the existing customer there, Capgec or Chevron is going to dictate how many they need and you know, what we can get, you know, for those particular vessels at a given time. Those vessels also are very high maintenance vessels. So they cost -- you know, they're inexpensive vessels, but they're disproportionately more expensive bringing our per dollar of actual capital cost. So we have to manage the fleet somewhat tightly. We've had some new deliveries into that market in the last six to eight months. And so, as a result, these vessels, you know, got put into lay-up. And my sense is that these vessels will probably likely be sold, but it is an economic consideration. So, you know, we think about it on the availability of opportunities out there and what we expect utilization to be. And again, these are higher maintenance vessels and so they generally have lower utilization and also what we can get with them in the open market outside of, in this case, move on.
David Smith: Great. I appreciate that. And just wanted to confirm that. I heard guidance correctly for Q2 revenue down 5% sequentially at 44% margins.
Quintin Kneen: That's correct, David.
David Smith: So with that, I think the full-year guidance midpoint would kind of point the second-half gross margin that's maybe 15% to 16% better than the first half. And just wanted to ask if that is primarily the benefit of better utilization or you know, is there also some visibility for contract rollover contributing to better pricing in the second half.
West Gotcher: Yes, David. It's generally driven by better utilization. But as we also said, as drydocks decline and as we think DFR days kind of normalized to some degree, there's a little bit of OpEx improvement, but the primary driver is the utilization.
Operator: Your next question comes from the line of Don Crist with Johnson Rice. Please go ahead.
Don Crist: Good morning, guys. Thanks for letting me in. Piers, on the tendering side, can you kind of walk us through the kind of timeline normally seen on these tenders? And what I'm kind of driving at is, if you have a tender that has a, call it, a July 1 start-up for 2026, when is that generally signed and kind of put on the books? Is that kind of a six-month out process? Or is it shorter or longer than that?
Piers Middleton: It really depends on the end customer. We tend to -- you know, the subsea contractors tend to come to the market a quarter ahead of when they need vessels. And so they're much more sort of short-term, which is why, you know, we think about the second half of '25, we've got some subsea contraction -- contractor work goes we're still bidding for. But when you're looking at something like Petrobras, not really Petrobras, but it's on that 18 chip tender that come out now, that will probably be -- it will take them three to six months to get organized on that. So probably end of this year, you'll hear from them for vessels working in mid-2026. So, it really depends on the type of working customers. North Sea tends to be a little bit shorter-term because it's just a little bit more of a transparent and spot type of market there. It's areas like Africa with some of the tenders we're doing there because it's a more complicated region and it takes time. The tenders which we're working on at the moment, some of the longer-term ones, yes, then you're in the -- you know, sometimes it will take a year from when the tender comes out to when the vessels actually start. And so, they're sort of similar in line with Petrobras. So, there's no exact rule of thumb. I'm afraid I can't give you a -- you know, every customer is different and we all love them for it. So, you know, that's what we have to play with.
Don Crist: But okay, I appreciate that color. But it's kind of safe to say that you should know two to three quarters ahead of what your utilization generally speaking would be.
Quintin Kneen: Yes, in general.
Don Crist: Okay. And then I guess one for West or Quintin, just on capital allocation and the balance sheet. Obviously, you are very focused on M&A and have been for a long time, but the bonds that you currently have outstanding are kind of a hindrance to some flexibility you might have on the buyback side. What kind of priority would you put on kind of debt refinancing versus kind of leaving that out and not having the flexibility on share buybacks as we kind of move forward?
West Gotcher: So, use of proceeds are obviously important for us. You know, I don't see the need to delever at this point. So it really just becomes an economic and opportunistic consideration as to, you know, resetting the capital structure. You know, obviously, we were not able to find suitable acquisitions, which would be my first preference. And we started inadvertently building cash, we would certainly consider the fact we have all this negative carry and whether or not it's worth the cost of refinancing the debt, because there is a relatively large cost today for that. But I would say that it's purely economic with the idea of maximizing equity shareholder value. My preference is to redeploy it into, you know, value-accretive acquisitions as opposed to newbuilds or anything like that.
Operator: Thank you. I will now turn the call back over to Quintin Kneen, CEO, for closing remarks. Please go ahead.
Quintin Kneen: Well, Janice, everyone, thank you very much, and we will update you again in August. Bye.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.